Operator: Good morning, ladies and gentlemen, and welcome to the Origin Enterprises plc Interim Results 2026. Just a reminder that this call is being webcast live on the Internet and the presentation is available to view on the Origin website. I will now pass over to Sean Coyle, CEO of Origin Enterprises plc. Please go ahead, sir.
Sean Coyle: Thank you and good morning, everybody. Welcome to the first half trading results performance for 2026. I'm joined this morning by my colleagues: Colm Purcell, our CFO; TJ Kelly, the Managing Director of our Living Landscapes business; and Brendan Corcoran, who's our Head of Investor Relations. The trading performance in the first half of the year we're describing really as solid or robust and we've had a good outcome from the perspective of agriculture trading when placed in the context of seeing what our competition are doing around us. We're having significant reductions in profitability from competitors in the U.K. and Poland and a significant number of distributor competitors in Brazil and in Romania placed themselves into administration, in some cases into liquidation or significant restructuring. The performance of the business in the first half has been strong. We had Agriculture profitability decline by 1% with increases in performance in an Ireland, U.K. context and in Latin America and a decline in operating profit performance within our Continental European business. And our Living Landscapes business showed strong growth in the first half led by Sports and Landscapes together with growth in our Environmental business supported by the benefit of acquisitions that we made in the second half of last year. Overall, group operating profit grew from EUR 17.2 million to EUR 17.4 million. We continue to see a strong balance sheet with our net debt-to-EBITDA ratio increasing fractionally on this time last year at 2.44x compared to a covenant level of 3.5x. We've extended our sustainability-linked RCF funding by a year. And we've announced an interim dividend consistent with prior years at EUR 0.0315, consistent with a long number of years payout from an interim dividend perspective. From an operating point of view, we did see an increase in inventory towards the back end of the year, which impacted working capital. And that was principally as a result of increase in fertilizer pricing; an increase in the level of fertilizer holding to support our entry into CBAM, which is a carbon tax introduced on European fertilizers over the course of the next few years that will increase; and an increase in feed stock values as well associated with volume increases in that business. We'll see our current Chairman, Gary Britton, retire today. And our new Chair, John Hennessey, joined as Chair designate on the 1st of January and will step into the Chair role as of tomorrow. We'd like to thank Gary for all of his contributions and support over a long number of years. From a portfolio point of view, despite the fact that we had no acquisitions in the period, we did see continued extension of our Living Landscapes product and service offering and continued use of scale and opportunity across the Living Landscapes business to drive additional revenue and cost synergies, which TJ will speak to a little bit later on. So for those of you who don't know our operations. We're split across Agriculture and Living Landscapes. Our sustainable agronomy businesses in the U.K., Poland and Romania are on-farm businesses using the best advice, technical capability to inform on-farm performance and give product recommendations. Our soil nutrition businesses in Ireland, U.K. and Brazil are more B2B businesses where we're dealing with other distributors, merchants and co-ops. And our animal nutrition joint venture businesses are the largest feed grain importer into the island of Ireland and we also have Northern Ireland's largest feed manufacturing capability. On the Living Landscape side of the house, our Sports business is involved in the agronomy of sports turf and sports pitches and supplies a range of products and services into that industry. Our Landscapes business supplies a range of green products and green services into the landscaping sector. And our Environmental businesses have the largest ecological consulting practice touching off biodiversity net gain, touching off a range of services into major developers right across the U.K. So we're a Top 10 player in that regard as well. And essentially, it's about the sustainable use of land; driving long-term impact on land use, delivering expertise and enriching land use in the best possible way for both farmers and other users of land right across the group. So very quickly we'll touch on 3 of the operating businesses in the Agriculture segment and then TJ will bring you through the Living Landscapes businesses. Within Ireland, U.K., profitability was slightly better than last year with a EUR 900,000 loss compared to a EUR 1.2 million loss in the previous year, a EUR 300,000 improvement and reasonably consistent with the performance and trading in previous years as you can see from the graph on the left-hand side. Running through the individual businesses very quickly. There was volume growth overall led really by fertilizer demand and feed demand. And overall, U.K. winter cropping is improved on the previous year with a larger oilseed rape area and a larger winter wheat area so a bigger crop to service, which is always positive from an Origin perspective. The earnings are always weighted more towards the second half of the year and that will remain the case here. Looking at the individual businesses. Our sustainable agronomy business saw a revenue increase of 1.5% supported by fertilizer demand and underlying raw material price moves. The winter wheat area about 4% bigger year-on-year and crop establishment at this point of the year is satisfactory. We did have a significant amount of rainfall and that has led to crop growth, but probably not a lot of activity taking place on farm because of the high level of rain. So plenty of work to be done as land conditions dry out over the coming weeks and months. And thankfully, the outlook from a weather perspective is good for the next few weeks so we should see a significant ramp-up in activity on farm over the next few weeks. Output price levels continue to be challenging from a farm perspective and this will be consistent I suppose across our Continental European businesses and our Latin American business in terms of a demand driver over the second half of the year. So there is some concern that farmers are trying to manage their input costs relative to output costs. We will of course be advising in relation to the best product to use and trying to promote yield as much as possible because despite the fact that grain prices and oilseed prices may be that little bit lower, yield maximization is the key to maintain profitability on farm. And therefore, promoting the best technical range of products that the farmer can possibly use will continue to be important. From a soil nutrition perspective, across both our U.K. and Irish businesses, we saw good preseason volumes. Pricing has remained quite firm on the back of tighter raw material supply and also higher gas prices driving increased prices. And maybe if we comment very quickly on recent developments. There is a significant proportion of world fertilizer produced in the Gulf region and that has driven up gas prices very significantly in the last 24 hours and will drive up fertilizer prices quite significantly over the course of the next month or 2. So we are reasonably well stocked and have a reasonable order book matching that stock position in both Ireland and U.K. and no real short position or long position to speak of in those businesses. So we'll concentrate on continuing to move the order book that we have out to the co-op and merchant level over the coming month or 2 and we'll wait for the markets to settle down and see where we go to from a market perspective. But certainly, prices have remained pretty robust over the first half of the year and we would expect fertilizer pricing to increase over the course of the second half of the year. And we, on the animal nutrition side, have had significant volume uplifts. Obviously the challenging weather from an Ireland, U.K. perspective and strong output prices in the protein area. So beef pricing, milk pricing in the first half of the year and other poultry, egg and pork prices have been a good supporter of driving volume in that business. Milk prices have weakened in recent months and we are expecting demand to soften in the second half of the year as a result of those weaker milk prices, but the trading in first half of the year has been strong and generally protein prices will be reasonably supportive of strong volume in H2. In our Continental European businesses, again a reasonable performance when set in the context of significant bankruptcies and restructurings across both Romania and Poland from the competition set and in particular, some intervention by the Romanian government in cash collection at the tail end of the previous years. The tail end of calendar 2024 proved to be not helpful in terms of collecting debt. Essentially what the Romanian government did at that point in time was place a prohibition on anybody in the ag input supply chain putting pressure on debt collection or enforcing debt collection for about a 6-month period at the back end of calendar 2024 and it really has made the industry see some challenging outcomes as a result. So despite our warnings to the Romanian government and the industry warnings to Romanian government at the time, it certainly has had an impact on our competitors. We have taken an increased bad debt charge as a result of that in the first half of this year and that has been an impact on the profit performance in the business in the current period. Our Polish business saw a reasonable trading performance. Fertilizer volumes were that bit weaker as farmers didn't commit to early fertilizer purchases and perhaps were expecting prices to drop. But as we've seen, they've actually strengthened so purchasing yet to be done in the Polish market. And generally speaking, trading other than the bad debt charge and fertilizer volumes in Poland has been reasonably robust and we've been happy with trading. We've also launched some new products in our FoliQ range and the first range of biostimulant products being produced in our production facility in Alexandro. So you can see those new products and packaging there on the right-hand side of the page. And trading outlook for the second half of the year I think is reasonably robust. Winter cropping has been strong and the overall planted areas in these markets and soil moisture levels in these markets are strong. So we are expecting a rebound in trading in the second half of the year compared to the performance in H1. And finally, from an Agriculture perspective, trading in our Latin American businesses has also been strong and we saw reasonable growth in profit in the first half, which as you know, is the key trading period in the Latin American business. So operating profit up by 5% to EUR 11.3 million. Strong growth in Controlled Release Fertilizer and biologicals and less success I suppose in our specialty product areas where we saw some volume decline in the first half. But overall, profitability has grown quite well and overall volumes have done well in that business. And again that is set in the context of a large range of competitors and distributors into whom we sell experiencing Chapter 11s and restructurings over the last 12 to 18 months. I think we're now coming close to the bottom of the cycle there and we'll begin to see an uplift over the second half of this year and into the first half of next year, which is positive. So we are looking forward to continued recovery in that business. But for us to have come through the last 2 years trading in Brazil with low grain prices, low soil prices and the farmer and a lot of distributors going through a lot of pain fiscally and continue to produce good growing profitability in those circumstances, I think has been very encouraging and it's a credit to the way the team have managed their customer base down there. We've had a very cautious approach to selling and being selective about the types of customers that we're dealing with and the amount of credit that we're putting into the market and the business has done very well in growing profit in those circumstances. So I'll hand over to TJ, who will run through the performance of the Living Landscapes business.
T. Kelly: Thanks, Sean. Living Landscapes delivered a good performance in H1 with operating profit up 8.3% driven by early season organic growth in our distribution, Sports and Landscapes businesses with the Environmental businesses also delivering year-on-year growth primarily underpinned by the benefit of acquisitions with a modest decline in underlying like-for-like performance within the environmental businesses driven by largely timing on key projects, which I'll come back to in a moment. That said, overall demand and our pipeline of activity across the Living Landscapes portfolio has remained robust and we are optimistic about performance as we enter the important second half of the year. We also continue to have a very active M&A pipeline. As we continue to further integrate the businesses in the portfolio, we continue to focus on driving commercial synergies in the form of cross-selling and operational synergies again as a highly efficient form of growth for us across the portfolio. Within each of the segments within living Landscapes then. Sports had a good performance in the period really benefited from a strong early season start. As you might recall, it was a pretty dry summer last year and there was quite a bit of focus on surface recovery generally for sports in the early autumn period and we benefited from that during our Q1 and early Q2 period in the season. Landscapes also had a good performance in H1 and that was despite what have been somewhat challenging tree planting conditions, in particular given the weather we've had over the last few months. That said, the landscaping sector performance has generally been solid. And across the Landscapes businesses, we continue to work on enhancing our operating model there. You'll have seen some evidence of that across social media. As we seek to better integrate the offerings that we have within Landscapes to better serve our customers with end-to-end solutions and that's really been delivered through a better integrated selling approach. Within our Environmental businesses then, as I said, overall pleased with activity levels. We had some pockets of very strong growth and then a couple of sectors such as in the renewable space where the timing of grid applications in the U.K. and certain large infrastructure projects were hit by delays and we were impacted as a result of the flow-through of revenue and earnings in H1 as a result of those delays. Overall though, we remain confident about performance in the environmental businesses. And given these were timing delays, the commitment in terms of spend is still there to those infrastructure projects and across the renewable space and we see that just picking up again through the second half of the year. So overall, remain confident and optimistic about performance across the division as we look into H2. With that, I'll hand it over to Colm, who's going to cover the financial review.
Colm Purcell: Great. Thanks, TJ, and good morning, everyone. Starting with some of the highlights on H1 financial performance on Page 14 of the presentation. Group revenue at EUR 852.6 million is 2.5% ahead of last year or 5.1% on a constant currency basis. Excluding crop marketing, we saw 4.3% increase in revenue compared to last year. This was driven by a 2.3% volume increase with Agriculture and Living Landscapes showing positive organic growth in the half, a 4% positive pricing impact largely driven by fertilizer pricing, a 1% benefit from our acquisitions and then partially offset by a 3% negative foreign exchange impact, which was mostly sterling in the first half of the year. Overall, operating profit for the period at EUR 15.1 million represents a 1.3% increase on prior year. And overall, this first half growth driven by Living Landscapes with operating profit up 8.3%. Agriculture marginally behind prior year with growth in Ireland and the U.K. and LatAm offset by the reduced performance in our Continental Europe businesses. Our associates and joint venture results showed good growth in the period on the back of a strong prior year number supported by strong demand for animal feed. Our finance cost for the period at EUR 11.3 million represents an increase of EUR 1.3 million year-on-year. The increase largely from an increased average level of debt in the first half, which was driven by the increases in working capital. The increased investment in working capital due to higher levels of inventory buildup prior to the implementation of CBAM, some volume-related seasonal increases and some slower collection of receivables in certain markets. Our overall adjusted EPS for the first half was EUR 0.0455 compared to EUR 0.0517 in the prior year with the higher operating profit being offset by the higher finance costs. As in prior year, the underlying earnings of the group are weighted to the second half. However, the H1 performance has been solid and the business is well positioned supported by selective investment in working capital as we enter into the key operating period of the year. We recorded an exceptional charge after tax in the period of EUR 3.7 million with the main element of the cost being in respect of payments to suppliers where historical trade payables have previously been suspended in accordance with the international sanctions following the commencement of the war in the Ukraine. We have just over EUR 5 million to pay in respect of these legacy sanction impacted payables. Looking at our balance sheet then at the end of H1 on Page 15. Our overall net debt position at the end of the half was EUR 283.5 million, which was at 2.44x our EBITDA and well within our banking covenant position. As noted earlier, the increase in net debt primarily driven by the increase in working capital. From a facilities perspective, we extended the maturity on our EUR 440 million revolver credit facility to 2031 with the option to extend by another year. Our balance sheet remains strong and well positioned to support further investment in the business through organic and through M&A investment. I'll now hand back to Sean.
Sean Coyle: Thanks, Colm. So very quickly just remaining strategic focus for 2026 as we approach the end of our 5-year strategic cycle. We do have a Capital Markets Day in the tail end of this year, which I'll speak to a little bit later on. But we continue to work on optimization of the agricultural core. And I think focusing on bringing that working capital level back in over the second half of the year, improving return on capital employed will be hugely important as the kind of surplus stock that we had at the back end of the first half comes through the system and moves through the system. Continuing to flex operations from a people perspective and from a service perspective will continue to be important. And as you know, we had a restructuring of our agri business in FY '25, a restructuring of some people and capability in our digital business also in 2025 in order to more tailor the operation to the ongoing gross margin availability. And we will continue to look at operations and look at businesses on a case-by-case basis to keep the workforce flexible as we move through future years. We're continuing to invest strongly in people and invest in our team and 40 of our senior leaders have now gone through a global leadership development program or are in the process of going through a global leadership development program. And a further 200 or so have gone through change management courses and sales management courses to try and improve our sales and managerial capability across the organization. So recruiting, hiring and retaining the best talent possible is hugely important. And when you see the performance of competition around us, I think it's testament to the strength of leadership that we have right down through the businesses. Within our Living Landscapes core, it is still the intention to exit FY '26 with a 30% run rate of profitability in our Living Landscapes business and we'll certainly see organically the business grow to over 20% as a result of the growth in the business. But the intention is to acquire additional profit over the course of the second half of the year so that we exit 2026 with about a 30% run rate of profit in Living Landscapes. We want to broaden the portfolio of businesses and portfolio of services and products that we're offering across the Living Landscapes business. And TJ spoke to earlier on some of the opportunity that we've had there to take services and products that we have in parts of our Living Landscapes businesses and bring them to additional businesses within the group. And finally then, we are organically attempting to grow our businesses into Western Europe with the recruitment of additional headcount selling cross-border into Western Europe from our U.K. businesses. For many years have been successfully selling our line marking paint, our PB Kent specialty fertilizer into Western Europe. And we're beginning to grow the balance of the product range into Western Europe over the course of the next few years with additional resource and headcount dedicated to that. But also looking at the possibility of acquiring in those markets as well. And from I suppose a big picture perspective, the intent is to continue to improve our product mix. And as you've seen with the additional biological products in both Latin America and in Continental Europe continuing to move and migrate to products that will continue to improve yield and improve the sustainability of the Agriculture operations. We're continuing to invest in our digital capability and the current major project underway is integrating with the Telus Farm Management Information Systems. And Telus have bought the 2 biggest players in the U.K. operating farm management systems. So getting full integration between our systems and those capabilities will drive additional data and information, which we'd hope to have access to. And in addition to that, we've launched recently with Lakeland and Tirlan here in the Irish market and expansion of our digital capabilities in Ireland as well. So that's been important. And we continue to drive standardization in ERP across the group. As many of you will know, we spent considerable amount of money over the last 3 or 4 years rolling out Dynamics 365 to our larger Ireland and U.K. businesses and that's beginning to get rolled out to some of the smaller U.K. and Ireland businesses. We will have a new ERP deployed in our Latin American business on the 1st of April. And our Polish and Romanian businesses will probably change ERP over the course of the next 2 to 3 years. So we're in the process of planning for that. And in addition to those changes, we're also building new project management capability across our environmental businesses, which will give us better visibility on product pipeline, staff utilization and generally allow those teams to manage their businesses in a better way and get better cost utilization of staff and capability across the businesses. And that rollout is beginning as we speak as well. So a significant investment in project management capability across our consulting businesses, which will really provide a platform for us then to add more project management businesses and consulting businesses on to that platform. So that's positive news. We're certainly on track to exceed our cumulative FY '22 to '26 targets as set out at the Capital Markets Day and we will exceed those by the end of the year. So just to summarize. The Agriculture businesses have been trading broadly in line with where we would want them to. We're well set for a good second half of the year with the planted area in good shape and crops looking to be in good shape as well. And the order books in our soil nutrition businesses and animal nutrition businesses are strong for the second half. Certainly, there is a little bit of concern about on-farm sentiment and the challenges that low crop and grain prices mean for the arable sector. But on the side of protein and, generally speaking, the drivers of our animal nutrition businesses, pricing remains strong. And we'd have questions as to whether we're at the bottom of the cycle on the grain pricing side and oilseed pricing side at this point. And certainly, the level of disruption that we're seeing now to oil prices and to gas prices in general will probably drive greater demand for sustainable fuels, which come from some of those crops. On the Living Landscape side, again a solid performance with strong growth across Sports and Landscapes and growth in our Environmental business supported by prior year acquisitions. And good work underway to continue to integrate those businesses behind the scenes and drive some synergies, both commercially and operationally in those businesses. And as Colm touched on earlier on, our balance sheet is at its usual kind of 2.4x, 2.5x at the half year. So our balance sheet's in a reasonable position to drive any growth and acquisition activity that we want to do in the second half. CapEx will certainly be lower over the coming years over the medium term and the business will see reduced capital investments as a result of the conclusion of our ERP investments. And most of our investment in production capability in Romania and Poland, across our Brazilian businesses has now been concluded. So there isn't a significant amount of additional production capability spend that we will incur in future years. We do expect to see diversification continuing to support less volatility in earnings. And I suppose at the start of the 2022 to '26 cycle, the intent of growing Living Landscapes and building out that platform was to reduce earnings volatility in the business. Continuing to grow the business positively from an organic perspective so we are investing in people and capability across our agricultural businesses. And we are not I suppose looking away from any M&A activity that might deepen and broaden our presence in certain markets. So if certain assets come up for sale in the U.K. or in Romania or Poland or Brazil from a distressed asset perspective that we might add to our existing businesses and put them under our existing strong capable management teams, we're open to acquiring agricultural assets on top of the organic growth that we're delivering. As we mentioned earlier on, the intent is to have a Capital Markets Day more than likely in London on the 17th of November and that will set out our capital allocation plans and the kind of ambition that we have for the business over the coming 5 years. So that's it. I mean we're reasonably pleased with how trading has gone in the first half of the year, still a lot to do. As always with Origin, most of the profitability in the group comes in the second half of the year and we look forward to coming back to investors with our Q3 trading update and giving guidance on outlook for the full year. So Tibu, we'll open it up to questions now if that's okay and we'll see what questions are there for us. Thank you.
Operator: [Operator Instructions] The next question comes from Patrick Higgins from Goodbody.
Patrick Higgins: Couple of questions of mine if that's okay. Maybe just firstly on the soil nutrition business like really helpful color there in terms of positioning for the short term, which sounds positive given your proactive management ahead of CBAM. But maybe just beyond that and probably tough to call at this point, but just interested to hear your thoughts on how things develop from here given the developments in the Middle East and the recent move in gas prices. How do you see demand developing particularly I guess given where farmer sentiment currently is and how prices currently are? That's my first question. Second one is just on the Living Landscapes business. TJ, maybe you could just talk us through the drivers of the phasing of the environmental kind of volumes into H2? What kind of causes that to push into H2 and what gives you the confidence of it actually flowing through in the half? And then final one, just again on Living Landscapes. Plenty of color there in terms of targets to grow out that business. But maybe specifically on H2, you could give us a bit of an update in terms of the pipeline in terms of size of deals, locations, sectors, et cetera?
Sean Coyle: Okay. Patrick, maybe I'll just take the soil nutrition one and hand over to TJ then. So yes, certainly I would say for the next kind of 6 to 8 weeks we have reasonable stocking positions in place and a reasonable order book in place. I mean we would have commitments at this stage from most of the merchants and co-ops to volumes for the next kind of 6 to 8 weeks as we traditionally would have been coming into the peak application period in any case. So the order book and existing volumes are reasonably well matched at this stage. As you know, beyond that, it's very difficult to tell. The spot market is moving around quite considerably. I think at some points yesterday, we were EUR 40 to EUR 50 per tonne up on most of the major fertilizer raw materials. 50% of the world's urea, 35% of global fertilizer comes from the Gulf area and if there is a long conflict or a prolonged conflict in that area, it will force prices up generally. We've seen the same with CBAM. As CBAM has been introduced on non-European producers of fertilizers, European producers have moved their pricing up and are taking advantage of the carbon tax on product coming from outside the EU into the EU to move their prices upwards, their raw material prices upwards follows. So we continue to source from probably 20 countries on fertilizer and we'll be hunting around for the best available pricing and product generally with good relationships and supply relationships with many players. So we are, as you know, not a primary manufacturer in this space. We're a trader who is simply bringing in the product, matching a book of demand and a raw material supply line with each other and will continue to move through the season as it progresses and watch out for those volatile periods and certainly not overcommit to purchasing material unless there's a solid book of demand there to be matched against it. So that is effectively how we will move through the rest of the season. But we're in reasonable shape, I would say, for product and supply over the course of the next 6 to 8 weeks. And there's already a stock of that product at merchant level and at co-op level right through the U.K. and Ireland. So obviously whatever they have on hand will need to be sold through and exhausted as well. So it's a combination of supply sources and current inventory that will move through the system. And certainly there's not likely to be a shortage in the next 6 to 8 weeks. But beyond that, it will be difficult to tell where volumes will move to.
T. Kelly: Patrick, just regarding the curves on Living Landscape. The environmental performance, underlying kind of performance as I said, overall we had growth driven by the impact of acquisitions. The underlying softness was driven by a couple of areas. As you know, our Neo Environmental business for example is heavily exposed to the renewable sector and the dynamic there. With that, the grid application window that closed in November time frame resulted in quite bit of activity in kind of the early part of our year in Q1. But since the grid application window has closed, it's been quiet. As those applications get approved, there will be a next round of activity as those grid applications get awarded and we're back I guess with clients then taking on the next phase of activity. But what it's created is a slight gap in terms of just activity levels in the Neo business since November, December; but we expect that and we see that picking up through March and April. So again that gives us a degree of confidence that again ultimately spend across the renewable sector in the U.K. is not going to -- isn't softening. It's just a timing piece with how that grid application process worked and the impact to us as part of the supply chain there. The other dynamic we've seen is certain large infrastructure projects, particularly in Ireland, have been subject to planning delays and that's impacted some of the timing of revenue flow-through with [indiscernible] in H1. But again, similar dynamics to the renewable space. We don't see any softening in the government's commitment to capital infrastructure spend. It is really just the timing delays really planning related again as we probably all be familiar with or certainly heard about in the media. But again we see that rightsizing and the timing of that is already starting to pick up that we can see through March and into early April. As regards general confidence in H2 I think across our Sports and Landscapes portfolio, we have quite a high degree of recurring revenue in those businesses anyhow. So that naturally gives us a degree of confidence combined with the line of sight we have in our order books into H2. And I think the other piece that we've been really working diligently on is stitching together the offerings across all our businesses in a more joined up way and that starts with the advisory services we offer through Environmental right through the product delivery services that we have across our Sports and Landscapes businesses and really engaging the customer in a more holistic way to ensure we get the value and benefit of the full portfolio that we offer across the business. And that's been a work in progress. I mean again as you acquire relatively small businesses and roll them up together, that is part of the opportunity clearly for us is to leverage those selling synergies and leverage the operational synergies at the back end. But I would say overall, a good degree of confidence in the second half by virtue of the nature of our current customer base and the opportunity to cross-sell and upsell, which we are doing right across the portfolio now, Patrick.
Operator: The next question comes from Cathal Kenny from Davy.
Cathal Kenny: A couple of questions from my side. Firstly, Sean, just on Brazil. If there was a recovery in the market, where would we see that impact the P&L? Is it primarily on the pricing side or would you expect to pick up in volume as well? Second question is relating to M&A. In your prepared remarks, Sean, you mentioned that you're open for business perhaps around assets in traditional geographies such as U.K., Romania, Poland and perhaps Brazil. Just wondering are you seeing some deal flow around some distressed assets in those markets already? And finally, on Living Landscapes, just are we seeing some benefit come through from the integration of the platforms from a synergistic perspective perhaps on the cost line or maybe there's a little bit of revenue to flow as well? They are my 3 questions.
Sean Coyle: Okay. On Brazil, I'd expect it both to be volume and price. But it's been a very competitive market from a specialty product perspective in Brazil. A quick example is there's a business called [indiscernible] down there, which is European-owned and we're making very significant profits in the Brazilian market. They're a specialty product producer and have moved to being loss-making in Brazil over the course of the last 12 months. So from a pricing perspective, specialty niche product areas have been quite aggressive and the competition for shelf space has been aggressive. Now we've been quite cautious in chasing volumes. A significant probably 60% of our sales in Brazil are insured and we would have good personal guarantees and other types of crop security of our sales in a Brazilian context, which gives us comfort in relation to who we're selling to and what we're selling down there. And I would say others have not been as judicious about who they're prepared to sell to. So that's the benefit of a very strong local team on the ground who are being managed perhaps in a more European or traditional way than the traditional inputs providers down there. So it's been challenging from a price perspective. Volumes in P&N, physiological and nutrition, products over the last 12 months have been down as a result of that high level of competitiveness. But we have made the decision to retain the brand value and hold pricing reasonably firm in the context of what has been a challenging market and there's been a little bit of price dumping going on from some of the competition in the race to get cash and it's difficult to legislate for. As you saw back in 2015 and 2016 in a U.K. context what competitors will do when the market is particularly challenged when they need to get cash in. And that's certainly proven to be the case in Brazil over the last 12 months. So we can't always legislate for what the competition will do in any of our markets. But I would say that if the market picks up in Brazil and we do expect that it will, we will have both a positive volume impact. As the farm profitability improves and farm dynamics improve, farmers will be more willing to spend on products, but we would also expect that pricing and margin will hold up reasonably well. And margin has been held at a good level in Brazil over the last 6 months despite some of the little bit of softness that we've seen in volumes in certain categories of product. In relation to deal flow in the agricultural space, nothing has happened in Brazil. There's been almost no transactions or M&A activity in Brazil over the course of the last couple of years and very limited in any of our other markets. Ireland and U.K., we're seeing almost no deal activity and we may see some over the next while. And certainly we have a view that further consolidation will be a driver of a strong agricultural industry over the course of the next few years and that the market continues to change. Profitability in farming in the U.K. continues to be challenged as evidenced by Minette Batters' report to Defra. And my understanding is that the CMA are reasonably open to bigger combinations taking place. So in order to continue to have a healthy and thriving agricultural inputs business, servicing a farm enterprise business that continues to see challenges; we would expect consolidation both at the input side of the house, but also on farm as well to drive some efficiency and that's the reality of what's needed in the sector. Poland and Romania, as we've discussed in the past call, we're not aggressively looking for targets in those markets. If I add up the total turnover of the businesses that have gone out of business or are going through financial restructurings in Romania for example, it's a pretty considerable something in the region of RON 3.3 billion of turnover, right? So that is a very considerable turnover of 11 distributors who are either going through solvency, bankruptcy or what's called an early restructuring to prevent the business going out of business. And that's the kind of turnover of businesses in the Romanian market. That's potentially up for grabs, right? But just like in Brazil, we need to be cautious about growing market share aggressively, dealing with farm customers who are robust and have a strong balance sheet and who can prove an evidence to us that they're capable of trading well out into the future. There have always only been 1 or 2 distributors in Poland or in Romania who are like-minded to us in terms of their approach to technical selling rather than just moving boxes and doing commodity product as part of their sales process. So there's certainly 1 or 2 in Poland and in Romania that if we got our hands on them would be great, but we're not going to buy just box shifting commodity players for volume at low margin. It's not a business that we're interested in acquiring. So there will be opportunity to grow market share organically in both of those markets. But at this point in time, I wouldn't see any immediate assets coming available for sale in Poland or Romania that we'd like to acquire. TJ, the Landscapes question?
T. Kelly: Sure. Yes, absolutely, we are seeing the impact of the integration of the various platforms. Our target internally at least is that between 8% to 10% of our EBIT will come from synergies, a combination of revenue and operation, but primarily revenue. And even on a year-to-date basis in the half year albeit it's obviously the smaller end of the overall performance in the full year, we are up at 10% of synergy generation across the portfolio and that's doing things as basic as replacing third-party granulated fertilizer with our own PV-10 product. It's improving the cross-selling infrastructure and capabilities in selling British hardwood trees through our Greentech tree ancillary products business. It's leveraging the footprint of our warehousing infrastructure. It's leveraging supply chain costs in areas such as pallets and logistics. So some very basic and obvious things. But nonetheless, when you've got individual stand-alone businesses that have been acquired, that is all part of the opportunity, as I said earlier, in terms of driving that integration and driving those synergies. So pleased with progress to date, but absolutely more opportunity in front of us and that's really a large part of our focus, as I said, in addition to the M&A pipeline and hopper and we're excited about the opportunities, I would say, as we look out ahead.
Operator: [Operator Instructions] The next question comes from Michele Mombelli from TPICAP.
Michele Mombelli: I just wanted to ask 2 simple questions after all these points, which has been raised and answered. I wanted to ask first, what do you think about the organic growth of the Living Landscapes division, if you have a target number in your mind? And the second question maybe is a little bit more general. Given the importance of the Ukraine country in agriculture in general, I wanted to ask what do you foresee for your business if there will be a concession of the most eastern part of Ukraine to Russia and the war will end in regards of your business. So these 2 points from my side.
Sean Coyle: Okay. Well, Michele, the Ukrainian business was closed down in 2024 so we no longer have operations there. So at the outbreak of the conflict in Ukraine, we moved to cash sales only and over the course of the next couple of years, we shrunk the balance sheet and then closed the operation in 2024 and don't have any ambitions in the short term at least to reopen operations there. Now that might change if they get their house in order and join the EU, but I would see that as being a long-term prospect and certainly not something that we would expect to see in the next few years. TJ, organic growth in Living Landscapes.
T. Kelly: Yes. I think it's probably reasonable to assume that mid- to high single-digit organic growth certainly should be achievable. And that does fit across the different parts of the portfolio, Living Landscapes and the Environmental business, given we've established a reasonable scale in terms of our overall headcount in those businesses still in growth. Still been adding heads to those businesses generally notwithstanding my comments earlier about the couple of challenges we've had in H1. Fundamentally, growth prospects and opportunity is still very, very strong. And we continue to recruit and hire headcount at a reasonably good rate. So I think growth for the Environmental business at kind of a late single to early double-digit growth rate is probably reasonable in Sports and Landscapes given that they're in the product distribution space delivering at a mid-single-digit rate, kind of a 5% to 7% rate is again reasonable I think for that portfolio of businesses. But as I said earlier, I think opportunity to drive more organic growth as we look out over the next kind of 3-year horizon or so by virtue of a greater ability to cross-sell and leverage the scale of the businesses in due course. But to summarize, I think a mid- to high single-digit organic growth rate is reasonable to look at on a portfolio basis across Living Landscapes.
Sean Coyle: Okay. I don't think we have any additional questions on the line. Nothing else coming in there? No. Okay. So thank you very much, everybody. We look forward to seeing you out on the road over the next few days. And if you could please save your calendar date for 17th of November, we look forward to seeing you in London for the Capital Markets Day. So thank you very much for joining us this morning. Bye-bye.
Operator: That concludes our conference call for today. Thank you for participating. You may now disconnect your lines.